Operator: Greetings, and welcome to the Construction Partners, Inc. First Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Rick Black, Investor Relations for Construction Partners. Thank you. You may begin.
Rick Black: Thank you, Operator, and good morning, everyone. We appreciate you joining us for the Construction Partners conference call to review first quarter fiscal year 2021 results. This call is also being webcast and can be accessed through the audio link on the Events and Presentations page of the Investor Relations section on constructionpartners.net. Information recorded on this call speaks only as of today, February 5, 2021. So, please be advised that any time-sensitive information may no longer be accurate as of the date of any replay. I would also like to remind you that the statements made in today's discussion that are not historical facts, including statements of expectations or future events or future financial performance are all considered forward-looking statements made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. We will be making forward-looking statements as part of today's call that, by their nature, are uncertain and outside of the company's control. Actual results may differ materially. Please refer to the earnings press release that was issued today for our disclosure on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission. Management will also refer to non-GAAP measures, including adjusted EBITDA. Reconciliations to the nearest GAAP measures can be found at the end of our earnings press release. Construction Partners assumes no obligation to publicly update or revise any forward-looking statements. And now, I would like to turn the call over to Construction Partners' CEO, Charles Owens. Charles?
Charles Owens: Thank you, Rick, and good morning, everyone. With me on the call today are Jule Smith, our Chief Operating Officer; Alan Palmer, our Chief Financial Officer; and Ned Fleming, our Executive Chairman. We are pleased with our performance in the first quarter of fiscal 2021. We had solid demand in both our private and public project work during the quarter. In addition, our disciplined approach in bidding, project management, effective utilization of equipment and crews, and vertical integration synergies drove the strong financial performance. We see strength in the funding programs across the states in which we operate, where the demand for road repair and maintenance is ongoing. We also expanded our geographic footprint in the first quarter with four bolt-on acquisitions in North Carolina. We now operate 48 hot-mix asphalt plants, which represent distinct markets across the five southeastern states that we serve. From a federal infrastructure funding perspective, we remain optimistic about the prospect of a long-term funding mechanism in light of bipartisan support for infrastructure legislation. We are confident that our nation's infrastructure will continue to be a primary focus for our country as an economic driver and a critical component of public safety. Based on our current backlog and near-term visibility of the business, we are maintaining our previously announced outlook for the year, which indicate strong growth for CPI. Before turning the call over to Jule, I'd like to thank our leadership team and more than 2,500 employees for their commitment, dedication, and hard work that enables us to successfully execute our strategy. I'll now turn the call over to Jule to comment on operations and acquisitions. Jule?
Jule Smith: Thank you, Charles. Good morning, everyone. Operationally, our business is performing very well. Our organization continues to demonstrate excellence across our markets and states. This performance is due to the hard work and dedication of our employees and their continued attention to safety protocols as we manage through the COVID pandemic. I want to thank each of them for their dedication to keeping their teammates safe and our company productive. Now, let's take a look at demand and funding for our services. Overall, in the state where we currently operate, demand remained strong for the road repair and maintenance projects that comprise the public side of our business. State budgets and gas tax collections are strengthening. We currently expect potential upside in infrastructure spending in Florida, Alabama, and North Carolina, with Georgia staying relatively flat. As we mentioned last quarter, the North Carolina DOT has returned to a normal funding program. Commercial work throughout our states remain steady, and we do not currently see downward pressure or pullback on project bidding in the private market. While the bidding environment across our states remains very competitive, I believe we are well positioned to execute our strategy throughout our geographic footprint. Turning now to acquisitions, we have fully integrated all four of the companies we acquired during the first quarter. I'm very pleased with these new additions and the smooth transition of these businesses into our company. Moving forward, in addition to having access to new markets, we expect to benefit from geographic and cultural synergies provided by these acquisitions. As a consolidator in our space, we continue to see many opportunities and to have conversations throughout our existing states and some adjacent states with potential acquisition candidates. Our leadership team is actively working to identify and engage with companies that may well fit into our future growth plans. I'd like now to turn the call over to Alan to discuss our financial results.
Alan Palmer: Thank you, Jule, and good morning everyone. I want to start by highlighting our key performance metrics in the first quarter of fiscal 2021. Compared to the first quarter of fiscal 2020, revenue was $190.0 million, up 8.9%. Acquisitions that were completed during the quarter contributed $7.1 million of revenue. Gross profit was $30.6 million, up 28.8%. Net income was $7.9 million, up 44.1%, and adjusted EBITDA was $23.1 million, up 34.4%. And finally, our adjusted EBITDA margin was 12.1%, up 230 basis points. While continuing to operate using safety protocols implemented to address the pandemic, our managers, crews, and corporate support are doing a great job of managing the business. We have continued to grow the company and maintain solid margins. From a profitability perspective during the quarter, we had excellent execution on our construction projects, and also benefited from efficient utilization of crews and equipment, as well as high utilization of our hot-mix asphalt plants and liquid asphalt terminal. We continued to have favorable pricing on liquid asphalt and diesel fuel during most of the quarter, but are beginning to see the expected price increases in both of these products as the economy begins to recover. Turning now to the balance sheet, at December 31, 2020, we had $51.7 million of cash and $38.3 million of availability under our revolving credit facility after the reduction for outstanding letters of credit. At the end of the quarter, our debt to trailing 12-months EBITDA ratio was 0.98. This liquidity provides financial flexibility in today's uncertain economic environment, and provides capital for potential future acquisitions, allowing us to respond quickly to growth opportunities when they arise. Cash provided by operating activities was $709,000 for the three months ended, December 31, 2020, compared to $1.7 million for the same period last year. Capital expenditures for the first quarter of 2021 were $10.5 million. We still anticipate total capital expenditures for the year of $47 million to $50 million. Project backlog at December 31, 2020 was $655.6 million, compared to $608.1 million at December 31, 2019. Approximately 79% of the backlog will be completed in fiscal year 2021. Turning now to the outlook for fiscal year 2021, we are maintaining the ranges we provided last quarter, revenue of $950 million to $1 billion, net income of $42 million to $46.5 million, and adjusted EBITDA of $109 million to $118 million. In summary, we are pleased with our first quarter results. I'll now turn the call over to our Executive Chairman, Ned Fleming. Ned?
Ned Fleming: Thank you, Alan. Before we open the call to your questions, it is important to recognize the outstanding performance by all of our leaders, managers, and employees at CPI that continue to produce great financial results. The team does an excellent job of managing the business for growth and profitability, while simultaneously building record backlog. CPI operates at a highly effective level while also expanding its geographic footprint into new markets. Many of the macroeconomic dynamics and positive internal factors that we experienced in the fourth quarter have persisted into this year. In addition, we significantly expanded the number of markets in which we operate through the acquisition of 13 hot-mix asphalt plants in the past four months. The recent acquisitions demonstrate CPI's strategic focus as the premiere consolidator in a very fragmented industry. The company is well positioned both organizationally and financially for continued growth. We remain confident in further expansion opportunities in our Southeastern states, with a vision to grow beyond our current footprint. Under the leadership and direction of our experienced management team, and with our strong growth outlook for the year, we are extremely bullish on the future of the company. With that, we'll now take questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Andrew Wittmann with Robert W. Baird. Please proceed with your question.
Andrew Wittmann: Great, good morning, guys. Hi. I thought I'd start out with a question on the profit margins in the quarter. Looks like an area, at least to our model that came in above expectations. And so Alan, I was wondering what some of the factors that drove the significant gross margin improvement were year-over-year in a little bit more detail. Last quarter you talked about the fact that you did less subcontracting work was the reason for the surprise last quarter. But were there any other things, like significant positive project completions versus your prior percentage of completion estimates in the quarter? Can you maybe talk about oil prices' impact on the quarter? And then given that they're certain to rise, how much of a headwind that could present for the balance of the fiscal year. I think some of those issues would be helpful for us to understand.
Alan Palmer: Yes, Andy, as far as the job performance, it really was consistent with the percentages last year and what we've seen in the -- our second, and our third and fourth quarter of 2020, but we did continue to benefit from the favorable pricing in the petroleum products, the liquid asphalt, and the diesel fuel. And as we said in our last call, we see that those are beginning to rise. And that happened more at the very end of the first quarter, and going into the second quarter. So we continue to benefit just like we did in the third and fourth quarter of last year from that. We also, in this quarter, we had a -- compared to last year, we had a significant increase in the amount of asphalt work that we did. Our mix of work includes asphalt paving, and this year we were able to run more tons through our plants, and sell more tons of FOB asphalt and aggregates to third parties then we did this same time last year, so both of those and the utilization of equipment. But as far as going into the future quarters, there definitely is that petroleum product prices are increasing. That's going to turn more from a tailwind into a headwind, and that's really what we expected to begin happening in the latter part of that first quarter and into the second and third, and possibly even into the fourth quarter this year.
Andrew Wittmann: Got it, that's helpful. I guess as it relates then to -- to build off of that as it relates to the guidance that you maintain here this quarter, I was just wondering if you could just kind of take us through the thought process there. I think since you last spoke to us, it is only the acquisitions in the Outer Banks that have been added, but I would think that those might be at least little bit additive. Can you talk about decision not to raise EBITDA with what you are seeing here today and rather maintain where it is?
Alan Palmer: Well, when we talked the last time, to clarify the acquisition in the Outer Banks was built into our guidance for the year, because we actually closed that just a couple of days after we had the calls. So, when we put together our budget, we knew that was eminent, but obviously we couldn't talk about it till it was public information. So, our guidance had all the four acquisitions built into them. And so, there is really no change to the guidance because of a new acquisition because it was already built in. And typically, we don't update our guidance till after the second quarter unless there is something extremely significant that's happened. And as we talked about many times before, there can be a pretty good fluctuation between our first and second quarter. So, until we get through that second quarter, whether we are down in the first quarter compared to the prior year, or up in the first quarter compared to the prior year, we typically don't update our guidance for anything related to [how that] [Ph] quarter. We pretty much look at the first six months and the last six months. So, at this point, we see the year playing out very similar to what had expected.
Ned Fleming: And Andy, this is Ned. I mean we think that from a guidance standpoint, we have a strong growth in our guidance. We are operating at a very high level. We've got positive macro with strong demand and state funding and a robust private sector kind of as a tailwind. So, we feel like our guidance is we are excited about performing.
Andrew Wittmann: Great. Thanks, guys. Good luck.
Ned Fleming: Thank you.
Operator: Our next question comes from the line of Stanley Elliott with Stifel. Please proceed with your question.
Stanley Elliott: Hi. Good morning, everyone. Thank you, guys, for taking the question. Earlier in the call you mentioned moving into adjacent market, I mean is that something that conceivably can happen this year, is it more that you are laying the groundwork for something to happen in '22? I am just curious as to how you are thinking about expansion at this point.
Charles Owens: Hi, this is Charles. We are obviously a growth company. We are staying focused on growing the company. We've got a lot of conversation going on with lots of people in different areas. And at this point in time, all we can is say that we are planning on to continue to our strategy that would likely always happen when these opportunities come up, we won't close them, and coming up with the timing of it or the thought process is we're just taking it one company at a time, and a seller has a lot to do with -- more than us and the timing on closing, and -- so, we are pursuing that, and we're ready to make any kind of addition to the company at any time, but we see a lot of opportunities out there right now.
Stanley Elliott: Perfect. And then secondly, you mentioned kind of the state cadence and public funding being pretty good -- we had heard that some states might be a little bit cautious early in the year kind of given even though the budgets are looking healthy, just because of the pandemic, but the chance that they would start to accelerate payments as the construction season starts to kind of take hold, is that something you all are seeing or contemplating within your outlook as we sit here today?
Charles Owens: We've got all think kind of baked into our guidance, but we've got looking at the states we operate in, let's just take Alabama for example, is going to be a quite a bid and how we are bidding. Georgia is going to be flat basically, and Florida is still in a downturn, but basically the downturn is these mega jobs that they are not going to have, but they are committed to do a lot of resurface in 2021 through 2025, about $5.5 billion worth of work. So, in North Carolina to give you an example, DOT left probably less than about $150 million this year that on track to let about 100 and about a $1.6 billion. So that's going to be a substantial turnaround. So, when you look at the states, we operate in, and we're seeing traffic and we're seeing tax receipts come in at near levels, where they were before the pandemic. And just throw on top of that with the COVID-19 relief bill, there's another 1.2 billion that went out to where we operate to the DOTs. And when we don't think all of that obviously will turn into [indiscernible] because we think the DOTs are safe with what they have, but we do expect over the next -- over a time period of years to see additional funding there. And then, the good thing about North Carolina is we're very bullish. Obviously, we made a lot of acquisitions there, but their cash balance and their DOT at minimum is about 300 million. And they're sitting at about 1.1 billion right now. So, we see a lot of good things that's going to come out of not only Carolinas, but all of the states we operating. And so, we're very bullish on our data for this year.
Stanley Elliott: Great, guys. Thank you very much. Appreciate it.
Operator: Our next question comes from the line of Josh Wilson with Raymond James. Please proceed with your question.
Josh Wilson: Yes, good morning. Thanks for taking my question. Congrats on the quarter.
Alan Palmer: Thank you, Josh.
Josh Wilson: Wanted to clarify something, I think last quarter you said you're the year-over-year increase in sales for the full-year and your guidance was about half from acquisitions and half from organic growth. Is that still the case or has the balance of acquired and organic shifted now that you're at one quarter in?
Alan Palmer: No, it hasn't at all. And one of the things that I think was a little confusing, and of course, obviously there was only so much information we could put out. We gave everyone an indication of what the acquisition revenue would be by the statement you just repeated, but I think people probably kind of been putting out their god, it's assumed that the cadence would be similar to ours, where there's about 20%, the first and second quarter each and 30% the last, but these acquisitions, two of them weren't made, one of them, we operated at one week, then we were shut down for Christmas. The other one was the first of December. So they really only contributed about $7.1 million to the first quarter revenue, but 90% or more of what they will contribute will be in the second, third and fourth quarter. But the split has not changed at all.
Josh Wilson: And then, your days receivable improved a fair amount year-over-year? Where are we at as far as the cash flows coming out of the DOTs, and we assume these sort of days continue going forward.
Alan Palmer: Yes. We've pretty much stabilized with that. I mentioned before, something that can throw that off a little bit is how much we do in the last month of the quarter. And that that can have an impact, because basically all of that revenue was in receivables plus a little bit carried over, but the way we calculate it, our days receivables are actually down probably about a half to one day. When you calculate it based on the actual month that closed out. So we seen throughout the pandemic, the states and the counties have really worked hard to make sure they don't get behind in their payments. So we're very pleased with that.
Josh Wilson: Okay. I'll turn it over to others. Good luck for the next quarter.
Alan Palmer: Thank you.
Operator: Our next question comes from the line of Michael Feniger with Bank of America. Please proceed with your question.
Michael Feniger: Yes, hi everyone. Thanks for squeezing me in and taking my questions. At the end of the year ended December, we saw that COVID-19 relief package, it included $10 billion, I think of eight DOTs, I think you even just mentioned, I think is the number $1.2 billion that is going to DOTs in your five states. And maybe you can just talk about that, if I understand that, that billion might not go specifically to road maintenance or road paving, but what that actually helps with the bidding environment, if there's more bids out there, but people you compete with maybe going for certain projects. So it would open up better opportunities elsewhere, just trying to think about how this recent stimulus that went directly to the DOTs at the end of the year, is that a 2021 impact? Does it take a long-time, so that might filter through, help us understand how much of a benefit that can be?
Charles Owens: All right, as you know, the states received the $10 billion in emergency aid and from the COVID-19 relief and what you anticipate the DOTs getting their house in order where they may have had a little bit of shortfall, but we do anticipate this $1.2 billion that's going into the four states that we offer that that we're hot-mix asphalt plants in right now, we do think that we're going to see that start trickling in latter part in the 2021 year, latter part of the 2021 fiscal year. So, we think that it's going, we're going to see a little bit there, but what we're looking at more than anything is kind of what's happening in each one of the states without this relief, that we're seeing, North Carolina coming back with a huge program, and we see Florida being up, we take out the mega jobs in which Georgia being flat, and Alabama having a real good funding. So we anticipate the funding to be good, the relief package, we're kind of being cautious about how we look at that, we felt like some of that could be, like you say in the latter part of 2021. But we're very optimistic that we're going to see some of this get into the bidding and to the ladings. And we feel like a lot of this will obviously be the top work that we concentrate on, is the repairs and maintenance, and because it can really improve the roadways immediately. So that's kind of what our thought process is and it seems like every time we're exploring things, we've got this, the cities and the counties and the DOT and different agencies, Chamber of Commerce is all trying to figure out how to increase spending on infrastructure. And it has really come to light, about how important this infrastructure spending is, and is very important and everyone recognizes how the domino effect, when they do let have ways how many people are touched from employment standpoint. So we're very bullish on the funding to our 2021 year for sure.
Michael Feniger: That's helpful. That's great. And I think going back to one of the earlier questions, the concern for the stock, and for the company is that the margins have been incredibly strong, because of this impact we've seen with diesel fuel, petroleum and liquid asphalt prices. And now all of a sudden, the strong margin expansion that you guys have been reporting is going to swing the other way, because of the rise of crude and diesel. Can you help us understand, Alan, some of the benefits you're seeing on the margins? Maybe quantify how much is it coming from better utilization, better mix, those feel like that's more structural going forward while raw materials are going to swing from quarter-to-quarter? So if there's any way you could help maybe quantify how much the benefits over the last few quarters for margins has been from diesel, so we can see how much of it is from the lower material prices versus actually getting better utilization of your equipment and better mix? Thank you.
Alan Palmer: Yes, I mean I've said before, I've tried to quantify a little bit in general terms because we can't calculate a specific amount, but I think the example I've used in the past is that if prices are moving down on those products. Then generally, we're going to have a tailwind is how I refer to it. And that may be a $1 million, $1.5 million less say in the course of a year. And then when you have the headwind, when they're going up -- during the period that they're going up, because you don't have every contract hedged and with the price increases that are built into it, then you may have $1 million or $1.5 million of headwinds. So as we look at it, it's not very significant except during that period where you switch from -- if you switched from a tailwind to a headwind. So part of what drove our margins and I alluded to this earlier in this quarter is anytime we run a lot more tons of asphalt, because we have a very diverse mix of jobs, then we're going to be running more tons through the asphalt plants, which have a fairly high fixed cost. So, if this quarter compared to the same quarter last year, we ran -- even though our revenue was up 9%, which is nothing to be ashamed of. Our tons were up almost 25%. So, one of our highest fixed cost areas are the asphalt plants. So we're going to pick up extra margin there. We've talked about that, and when we talk about the 40% in the first six months and the 60% in the last six months. The other thing is that also drives a lot of our very expensive equipment. That's doing the asphalt paving, which the highest volume of resurfacing and asphalt paving that we normally do as in the last six months of the year, but this year, because of the weather conditions and other things, we were able to do a lot more. So the jobs themselves don't vary in percentage of profit, but the other kind of fixed cost areas like our shop and our asphalt plants, they produce additional margin and that it can turn into like we saw this quarter, 1% or 1.5% of additional margin. Over the course of the year, that's going to come back in line and that's why we give annual guidance. And we don't focus on quarter-to-quarter, because we've had a year or two ago where we had a very slow first quarter. And there was a lot of concern that where you're not going to meet your guidance, and we had a very robust second quarter, and we caught up in that one quarter, the same thing can happen going both ways. That's why, again, we look at our business in six-month increments, and we still see it very strong. We still see our outlook for the year happening, getting to that guidance. If some of the additional jobs that you were talking about here with the COVID relief money come into our bidding in the third quarter and fourth quarter, then obviously that could impact our full-year guidance at that point. But we're not going to adjust our guidance for the things that we hope might happen. We base it on what we see and what we've got on backlog. And our backlog gives us a lot better feel for the rest of the year than we had 12 months ago where our backlog will still down. But we're not going to adjust typically in that or after that first quarter, those are too many things that can happen in the second quarter that we won't know until it's finished.
Michael Feniger: That makes sense. And I guess just lastly with what you have seen maybe in January is, are you seeing a more competitive bidding environment? Is it more stable? I know it's still early days this year. I'm just curious if you're seeing anything unusual. That's kind of played out, I guess early in your second quarter? Thanks.
Charles Owens: Hi, this is Charles. Jule, you want to take that question, now we've done a lot of [indiscernible] handle that please.
Jule Smith: Sure. Thanks, Charles. Yes, the bidding environment that we are experiencing and seeing in all of our states continues to remain very competitive, as it always is. And that's not changed. North Carolina obviously with them resuming lettings, it starts out very competitive and we hope that'll normalize through the winter and spring as it normally does. But we had a very successful fall building backlog, and not only performing as Alan said, running a lot of tons, but building backlog. And so we've got a lot of people doing a great job in these four states, not only doing work, but getting work for the future.
Michael Feniger: Thank you.
Operator: Our next question comes from the line of Adam Thalhimer with Thompson Davis. Please proceed with your question.
Adam Thalhimer: Hi. Good morning, guys. Hi, Jule, I actually wanted to continue on with that competitive environment discussion, just curious if it impacted the margins in your backlog at all?
Jule Smith: Adam, yes, I mean, we continue to build backlog, and when it's competitive, our backlog margin can shrink a few basis points, but typically, especially with North Carolina being a big part of what we do, right now that's affecting it, but we see it normalizing. We see the markets we acquired in North Carolina be in very good markets. And so was it normalizes? We - just as we typically do, we think that we'll see those margins continue to grow, but it continues to be a very competitive bidding environment in all the States, Florida, Alabama, and Georgia.
Adam Thalhimer: When does that normally change by the way, like with a state like North Carolina, where they went from very few bids to more bids, I mean does it kind of after 12 months of things normalizing, the margins might get better?
Jule Smith: Well, Adam, I think whenever you have a very unique situation where state stops bidding work for over 12 months, and asphalt and contractors get low worth and they need to cover the fixed cost of their plants is that as Allan alluded to, when they start back letting work, people are going to be aggressive in getting work on their books. I think with the North Carolina program, they've come out with a very strong program and we've see that continuing on. I think it won't take 12 months to normalize. I think people, once they get some work on the books to cover fixed cost, prices will get back to normal fairly quickly.
Adam Thalhimer: Yes. Okay. And then just lastly, are you seeing any change in seller expectations just based on the -- I don't know, I mean potential for big federal infrastructure bill and I mean our sellers asking for higher price?
Alan Palmer: I mean, this is Alan, I mean, all we can talk about is historically with regard to that, and we've had periods where there were downturns and even during the COVID, I mean, we were negotiating these four companies that we bought during COVID and if there was any kind of uncertainty or whatever like we've never seen, it was probably during that. And it really did not impact the prices that they were expecting nor the way that we price companies to bottom. Historically, when sellers are looking at selling and they're talking about the bright future, and what could happen, what we tell them is, if you want to achieve that bright future, you keep running the company and you can make that money. But if we've got to go out and make it, we're not going to pay you for it. And I mean that's just brutally how we frame that. So, we generally don't see major changes and prices that we pay that doesn't mean expectations of sellers don't change, but we're very disciplined in how we value companies and being many of these companies don't have a lot of other choices. And even if they did, they want to sell to someone that's going to treat their employees, right. That are going to continue the kind of the culture of those companies and they fit in well with us. So we don't see a lot moving either because taxes might go up or down or the economy is looking good, or it's not looking as good. It really is more a function of the fair market value of their property, plant and equipment. And what kind of a market that they're in, that we can go in and achieve some synergies and what we can do running the business.
Adam Thalhimer: Great answer. Okay. Thanks, Alan. Talk to you later.
Charles Owens: Hi Adam, this is Charles. Let me just add on the competitiveness that Jule was talking about. Keep in mind that we have 48 distinct market areas and all those market areas and all of those market areas are different and they have different managers in a lot of those markets and they have different top work other than maintenance in the market. So when you look at our, talk about the competitiveness it's hard to say, if we're looking at just one company, because we've got 48 different market areas and every one of our competitive and it's not like we're depending obviously, as you can see, we don't depend on just one state or one market or the way we're situated then the way our strategic plan is laid out is we got 48 markets to go get and build work with. So I just wanted to make sure you kept that in mind, kind of the way our strategy and the market areas that we have set up in this company.
Operator: Our next question comes from the line of Brent Thielman with D.A. Davidson. Please proceed with your question.
Brent Thielman: Hey, thank you. Good morning.
Charles Owens: Good morning, Brent.
Brent Thielman: Hey, Alan, the step-up in SG&A. Should we see that save some I just assume that's the one-timers for the acquisition activity in the quarter?
Alan Palmer: In the quarter, there's really about just under $400,000 related acquisitions, but for the most part, that should be pretty close to the cadence for the rest of this year, if we don't have another quarter, we've been adding some personnel because of the significant growth that we see in the organic side, and some opportunities that we see as far as strengthening our teams and everything. So, some of that is related to that, and then of course, the acquisitions. During this quarter, we're only partial in there for the quarter. So there'll be four quarters going forward, just like the revenue was only about 10% of what they would get for the year, the same thing was with our overheads, so but that that amount should be fairly consistent throughout this year for the next three quarters.
Brent Thielman: And Alan, but you're talking absolute dollars, or as a percentage of it?
Alan Palmer: Yes, I'm talking about dollars, not percentages, the percentages will obviously change in the months, in the quarters that we've got 50% more revenue than we do this quarter. I'm talking about the dollars.
Brent Thielman: Okay. Okay, and then lot of questions around yes, the pipeline M&A? Can you guys update us just on plans on the Greenfield side, what you're thinking about over the next 12 to 24 months, new liquid asphalt plants, things like that, it'd be interesting to hear?
Charles Owens: Hey, this is Charles, from our growth strategy. Obviously, we're vertically integrated. And we'll be looking at all of the materials that come in making hot-mix asphalt and building construction jobs. And so, we've got a lot of opportunities to look at for my godown operation to a building out to our integration of our operation. And so we just have a lot of targets out there that we've been talking to, we feel good about our growth situation. And we will, like I said, the timing of those got to be right for the buyer and the seller. So we're excited about what we're seeing the opportunity right now.
Alan Palmer: And we are to further say something with that, relative to that, I mean we're constantly looking at other Greenfield sites, both for our vertical integration strategy as far as getting more into aggregates or getting more into liquid asphalt, and when that makes sense, we'll execute on that. And then just additional asphalt plants, a lot of that has to do with the timing of markets that we're wanting to go into, when they're kind of growing, or their new markets that things are happening. So it's not unusual for us to have Greenfield sites that we own that at some point, we'll put an asphalt plant and it might be one that we acquire in an acquisition, because of the proximity to one of our plants that frees up another one. So those are things that we're constantly trying to do, but their timing there is somewhat, when it makes sense to go in there because of the amount of work that's going to be available, or a plant becomes available that we got within our one of the acquisitions that we might.
Brent Thielman: Got it. Okay. Well, thanks for all the color. Best of luck.
Alan Palmer: Thank you.
Operator: Our next question comes from the line of Andrew Wittmann with Robert W. Baird. Please proceed with your question.
Andrew Wittmann: Great. Thanks guys for letting me in with a couple of these follow-ups. The first one is just more of a technical question, but it has to do with the acquisitions. I think in the script, Alan, you said that the revenue from companies acquired in the quarter was like $7 something million. I thought there was another acquisition that was announced that wasn't closed in this quarter. And in fact, I think when you guys announced to Florida hot-mix asphalt plants last March. I think they also contributed, so I guess the question was, I think $7 million in the first quarter, the total inorganic revenue contribution, or was that just from the deals? And if not, could you tell us what the total inorganic contribution to revenue and actually to backlog in the quarter that'd be helpful?
Alan Palmer: Yes, the total revenue was $12.2. So, there was 5.1 from the one in Florida that was the two asphalt plants that you were referred to. The 7.1 related to the four that were made in this quarter. And that only were in there for a partial period. So that's why I've single that out. But the total amount was $12.2 million. So that left us with just over 3 million of organic growth, which was we were very pleased with, because last year our first quarter was a very strong quarter where we ended up doing almost 22% of our full-year revenue. So, this year to last year to grow that much organically, we will be very pleased with that.
Andrew Wittmann: The backlog contribution from the deals would be helpful as well. Do you have it handy?
Alan Palmer: Andy, I don't have that exactly. I will say that it was very small backlog that we acquired with these companies. Now we have added a good bit of backlog in markets that these companies represent. So there's a substantial portion of our - I mean our 1231 backlog, then includes jobs that were won in these markets in North Carolina, because they resumed bidding. But as far as acquired backlog, I don't have an exact number on that. But it was where typically in an acquisition we would acquire about six months' worth of revenue. I would say here we probably averaged 60 days to 90 days that they asked, because they were all in North Carolina, which is you will referred to let virtually no work in the last 12 months.
Andrew Wittmann: Thank you for that perspective. The last question I wanted to ask about was the comment you made on the FOB, the volumes -- they're up 25% while the revenue is up nine. It seems like a pretty big difference. And I know that historically you guys have been pretty selective or judicious on, on doing FOB revenues. There's reasons to do it. There's reasons not to do it. And I was just wondering why this quarter had such a big influx of it compared to other times where maybe you haven't elected to fill those orders.
Alan Palmer: Yes, well to clarify one thing there that approximately 22% was of all turns. So we were up in our own self-performed turns as well as the FOB turns. And so that goes back to the self perform turns increased that we had is what drives more turns that more equipment usage. So it was both FOB and those, and I mean there's always been an emphasis for us to sell FOB turns. Those are good for us because it runs more volume through the plant. It also generally is sold to smaller companies that do some of the jobs that we might not knew the smaller projects or things like that. So we're always striving to increase our FOB turns. The reason that I've said for the support of the higher volume this quarter was we had conditions, where it was a little bit warmer. We had conditions where it was a little bit warmer; we had more opportunity to put down turns. And so, did those contractors who are out doing some of those smaller private work projects? So it's always an emphasis just like we'd like to sell a lot of aggregate to third-parties, although we consume the majority of it ourselves in our aggregate facilities. So the weather was favorable in October, November, and even in December. I mean a substantial portion of our, increase in sales compared to last year actually happened in the month of December, which typically is in many of our markets, just not you really can't lay very much asphalt in those months because of the temperature requirements.
Andrew Wittmann: Okay, great. Thank you for the explanations. Have a good day and good weekend.
Alan Palmer: Thank you, Andy.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Charles Owens: Okay. Thank you very much and thank you everyone for joining the call today. And we look forward to speaking with you on the next conference call. Everyone have a safe and [technical difficulty] have a good day. Good-bye.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.